Operator: Ladies and gentlemen thank you for standing by, and welcome to Thomson Reuters Fourth Quarter 2014 Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be provided at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to our host, Mr. Frank Golden, Senior Vice President of Investor Relations. Please go ahead sir.
Frank Golden: Thank you. Good morning and we appreciate you joining us as we report our financial results for the full year and the fourth quarter of 2014. Our CEO, Jim Smith will start today’s discussion followed by Stephane Bello, our CFO. Following their presentations we'll open the call for questions. We have a lot of material to share with you today and therefore we’d appreciate it if you limit yourself to one question each in order to get to as many questions as possible. Throughout today's presentation keep in mind that when we compare performance period-on-period, we look at revenue growth before currency, as we believe this provides the best basis to measure the underlying performance of the business. Today's presentation contains forward-looking statements. Actual results may differ materially due to a number of risks and uncertainties discussed in reports and filings that we provide to regulatory agencies. You can access these documents on our website or by contacting our Investor Relations department. Let me now turn the call over to Jim Smith.
Jim Smith: Thank you, Frank, and thanks to those of you on the call for joining us. What a difference another year makes. Over the past 36 months we’ve made significant progress in putting the company back on solid footing. 2014 will be know as the year when Thomson Reuters turned to offence. As you see on this slide, we met or exceeded each of the 2014 guidance metrics. In fact this marks the third consecutive year that we’ve met of exceeded each of our guidance metrics. I know I have said for some time that I want our company to be known for its deep and lasting customer relationships, for world class products and services and for the exceptional talent and commitment of our people. Thanks to the efforts of my colleagues around the world, we are well on our way to making that a reality. 2014 was a year of solid progress with good execution across the company. We are earning back the trust and confidence of our customers as reflected in our higher customer satisfaction ratings and higher retention rates. This resulted in a significant improvement in year-over-year net sales. Our financial business recorded its first positive net sale since 2008 for the year and the first positive fourth quarter I can recall. That business has shown year-over-year net sales improvement in eight of the last nine quarters. So because of the actions we’ve taken to focus on the customer and to simplify the business, the trajectory is finally in our favor and we expect that to continue in 2015. The trajectory also continues to improve on the cost side with our financial business recording a 250 basis point improvement in its underlying EBITDA margin in the fourth quarter, that’s before charges in currency. So thanks to improving net sales and simplification. We remain on our path towards nearing a 30% EBITDA margin for our financial business. Additionally our professional businesses continue to do a very good job of building from a solid foundation, while targeting faster growing opportunities, resulting in 4% growth last year, 3% of which is organic. Now underpinning the improving net sales and revenue growth trends are our simplification and transformation programs. Last year we achieved our run rate savings target of $300 million from the simplification program and our transformation program continues to make steady progress toward its goal of achieving savings of $400 million by 2017. We also returned over $2 billion to shareholders last year in the form of dividends and share buy backs. Lastly, adjusted EPS in the fourth quarter was $0.43 with charges in the quarter $15 million higher than planned, as we saw an opportunity to realize additional future savings. This had a $0.02 negative impact. Additionally currency also had a $0.02 negative impact on the quarter. I now want to return to a slide from our third quarter 2013 presentation. The story of 2014 is the story of delivering on the three components of the strategy I outlined back then. So let’s look at our performance last year with that in mind. The first objective was to operate as an enterprise rather than a set of distinct portfolio businesses. We want to reap the benefits of scale in order to better serve our customers, while focusing on organic revenue growth and driving greater simplification across the business. I also said that the era of portfolio churn was over, as we focus on simplification. Last year we spent just $170 million on acquisitions, a substantial decrease from prior years. Second, we said we would accelerate the transformation of our financial business, which included improving net sales, resetting the cost base and improving profitability. The final objective I outlined was to align our capital strategy with our operating strategy in order to drive stronger returns to shareholders. This objective is targeted at gradually improving our top line growth and improving free cash flow, thereby enabling us to return more cash to our share holders without compromising either, our growth strategy or our commitment to a solid investment grade rating. Framed by that remainder of our objectives, let’s review how we performed. Although I’ll speak to you today about the performance in each of our business segments, 2014 marked the beginning of a far more collaborative approach across our enterprise. On the front end we began developing an integrated approach for some of our largest customers, to expand our footprint and drive growth, and on the backend we’ve consolidated platforms and real estate to drive efficiency and effectiveness. We’ve also stepped up our innovation initiatives with dedicated funding to invest behind new ideas, many of which can be leveraged across the business. Now, a few highlights by business segment. Despite financials revenue decline of 2% for the year, which you’ll remember was primarily due to 2013’s negative net sales; we saw an improvement in the fourth quarter with revenues down 1%. Even more importantly net sales were positive for the fourth quarter and for the full year. In legal, performance also improved with revenues up 2% with an organic rate of 1%, tempered somewhat by a 7% decline in U.S. print. If you exclude U.S. print, full year revenues increase 3% with organic growth of 2%. We’re particularly pleased with the continued strong performance from the Legal Solutions businesses. Those of you who followed us for a long time remember when our Legal Business was primarily composed of West and Westlaw, our core legal research offering in the U.S. Today core legal research still represents slightly more than 50% of our legal business, but only by a small margin. We’ve built a solutions business around Westlaw. This solutions business today represents a revenue base of almost $1.6 billion and it grew 6% organically in 2014. Within the next couple of years we expect our solutions business will represent the majority of Legal’s revenue base. Our Tax & Accounting business continues to execute well and had another very strong year with revenues up 12% of which 9% was organic, improving on last year’s organic growth rate of 5%. This business continues to benefit from increased market demand for our global tax solutions and from new product launches and strong execution. In IP & Science, revenues grew 3% with subscription revenues up organically a healthy 5%. The growth was partly offset by an 8% organic decline in transactional revenues, and our global growth businesses continue to perform up 9% of which 5% was organic. Again, I’ll remind you that GGO’s result are included within each of the four business segments. Now, turning specifically to the financial business, we can see how our simplification program and our drive for innovation led grow is paying off. Net sales were positive, thanks to stronger gross sales and improving retention. We saw some significant customer wins and renewals, which is rewarding and encouraging. So we are entering the new-year in the best position since the acquisition of Reuters in 2008. With greater discipline, focus and rigger we’ve been able to reduce financials headcount by 20% since 2012 as we simplify the business by closing both legacy platforms and products, while increasing the number of customer facing employees at the same time. This is not strictly a cost story, it’s also a growth story with growth coming from a reenergized sales force, attributable to the launch of competitive new products on a modern, robust and secure unified platform. This includes the launch of our new foreign exchange product, the launch of Eikon 4.0 and the launch of Eikon for the Buyside in the fourth quarter. And in the risk and compliance business we launched Accelus Org ID, which is being very well received in the market. Each of these products is powered by the Elektron platform that provides customers with a reliable, fast and more cost efficient way of doing business. The professional businesses continued to deliver consistent results. Legal’s prospects continued to improve as U.S. online research appears to have stabilized. The solutions businesses continue to grow mid-single digits organically with plenty of runway and U.S. print revenues are becoming an ever-smaller proportion of the business. This is reflected in a 200 basis point improvement in legal’s organic revenue growth in 2014 versus 2013 and four consecutive quarters of improving growth if you exclude print. Tax & Accounting has built an impressive business over the past five years, evidenced by a compound annual growth rate of 11% and its prospects for continued strong growth and profitability in the coming years is encouraging as global tax markets and our product offerings continue to expand. Lastly, the IP & Science business broke the $1 billion revenue mark in 2014, an important milestone with strong growth from about three quarters of the business that is subscription based. So let me wrap up 2014 by saying that I’m very pleased with the progress we’ve made in aligning our operating model and capital strategy, as we move towards achieving the objectives we set out 15 months ago. As I said at the time, I believe this strategy will enable us to grow our free cash flow and create greater shareholder value, while enabling us to continue to return cash to shareholders as evidenced by more than $2 billion returns last year. Now, let’s look at 2015. Based on our 2014 results and the current pipeline, I’m pleased to report that we expect to return to organic revenue growth in 2015 and we forecast positive net sales for our financial business for the full year. That business is now in what should be the final year of large platform migrations. If we execute as well as we’ve done in the last three years on these migrations, our competitive position will be even stronger by the end of the year and our financial business should enter 2016 in the strongest financial position it’s been since the acquisition and poised to deliver positive organic growth and strong EBITDA performance. On the professional side we expect another strong performance this year and 2015 will be a milestone year as we retire our Westlaw Classic platform and complete the migration of our remaining customers to Westlaw mix. Now, there are several large projects we plan to complete in ‘15 in order to achieve our goals. 2015 marks the final year of large product and platform migrations for our financial business. As such it will represent a key milestone in our transformation, but it’s also a critical year from an execution perspective. Let me briefly describe three key product and platform migrations on which we need to execute flawlessly over the rest of the year. On the back end we’ll be migrating our large real time infrastructure platform, which we refer to as IDN BON. On Elektron this platform migration will not only result in lower cost for us. It will also drive a big improvement in service levels and it will lower cost for our customers as well. This will be the most complex migration we’ve completed today that based on our recent experience I’m confident our team will deliver as it has in the past. Importantly, this is the platform migration that should generate substantial savings and we expect to complete it in the latter part of the year. Therefore we would expect to see a marked improvement in margins once this migration is complete. On the front end we will migrate our remaining Buyside and foreign exchange customers to our unified platform. Together these products represent approximately $700 million in revenues. In many cases we are upgrading legacy products that are very old and as a result have low retention rates. For instance, our new foreign exchange offering replaces a product, which has not undergone a major upgrade in many years. So we expect to be in a much stronger competitive position across the board by the time we complete these final migrations and the early customer feedback has been encouraging. However these migrations will result in downward pricing adjustments in some instances, which will constrain financials revenue growth this year. In fact, we would expect that for 2015 only the pricing adjustments we need to make as we complete these final product migrations will offset the positive impact of our annual price increase. Nevertheless we are expecting a marked improvement in financials top line growth in 2015, due to last year’s stronger net sales performance. Such an improvement in 2015 should in turn set the stage for continued improvement in top line growth in ‘16, which should be our first business as usual year without any major platform, product or customer migrations. As such, we now have better visibility and confidence than ever in our ability to return our financial business to low single digit revenue growth and good operating leverage in 2016. Now, for our 2015 outlook. First, we forecast a return to positive organic revenue growth. The level of underlying progress in our growth performance would be somewhat masked by the commercial adjustments in our financial business I just discussed. But we believe 2015 will see a return to positive organic growth and will set the stage for more improvement in 2016. Second, the adjusted EBITDA margin is expected to range between 27.5% and 28.5%. Third, our underlying operating margin is forecast to range between 18.5% and 19.5%, which would represent a 150 to 250 basis point improvement and we forecast free cash flow to range between $1.55 billion and $1.75 billion. Importantly these projections are at constant currency rates relative to 2014. This is in line with the way we’ve always provided guidance in the past, however we do expect that currency will likely have a bigger impact than usual on our reported results based on the recent developments in the currency markets. While we obviously cannot predict the impact of foreign exchange fluctuations over the year on our results, Stephane will remind you of our currency footprint in a few minutes in order to enable you to better estimate the impact of currency on our results as the year develops. Now, given our strong capital position and our confidence in the cash generating capacity of the company, this morning we announced a dividend increase of $0.02 per share to $1.34 per share. This marks the 22 consecutive annual increase in our dividend. In addition, we expect to continue to execute on the $1 billion buyback program we announced in the second quarter of last year and we anticipate completing this program at some point in 2015. So let me conclude by saying that we are pleased and encouraged with the continued progress we made in 2014 and I can confidently say that we are on course for a stronger growth and greater profitability moving into 2015 and looking ahead to 2016. And although our financial business has significant platform and customer migration programs to complete this year, we’ve proven we can execute well on the things within our control and I’m confident we’ll do it again this year. We will not take our foot of the pedal as we work to drive better growth to improving net sales, while also capitalizing on greater operating leverage to further improve profitability. Moreover our transformation programs will continue to drive greater efficiency across the company, as we take advantage of the scale of our enterprise. I’m confident these programs will deliver substantial savings, while also enabling us to invest for growth. And lastly, we will continue to operate within line operating and capital strategy, which I’m confident will lead us to gradually improving top line growth, improving free cash flow resulting in stronger returns to shareholders. With that, I want to thank you and I will now turn it over to Stephane to discuss the fourth quarter’s results.
Stephane Bello: Thank you, Jim, and good morning or good afternoon to you all. As usual, I will speak to revenue growth before currency throughout today's presentation. As Jim just mentioned, we do expect that currency will have a greater than unusual impact on our results in 2015 and we are starting to see the impact of this higher currency volatility in our Q4 financial results. So as I always do, I will highlight the areas where currency had a material impact on our results. This first slide provides a snapshot of our fourth quarter and full year results, which do reflect the impact of the charges which we flagged earlier this year and which impacted our performance over the past 12 months. At the EBITDA level, these charges had a $77 million impact in the fourth quarter and $135 million impact for the full year. So we ended up incurring slightly higher charges than we had expected, $135 million versus our earlier expectations of about $120 million. Fourth quarter revenues were up 1%, all organic. Our Financial & Risk segment declined 1% and was down 2% organically, while our other businesses grew 4% in aggregate and 3% organically. Full year revenues were up 1% and about flat organically. Adjusted EBITDA in the quarter was up 30% with an EBITDA margin of 24.7%. Excluding charges from both periods the EBITDA margin was 27.1% in the quarter compared to 26.6% last year and for the full year the EBITDA margin was 27.4% compared to 27.3% last year. Finally, our fourth quarter operating profit margin was up 20 basis points excluding charges and excluding the impact of currency the operating margin was up 50 basis points in Q4. For the full year the operating profit margin was 18% flat compared to last year with minimal impact from currency. Now, let me provide you with some additional color on the performance of our individual businesses, starting with our Legal segment. Demand for legal services in the U.S. market as measured by Peer Monitor was up 1% in 2014 versus down 1% in 2013, and we saw modest growth in every quarter of 2014. For perspective, the last time we saw growth in each quarter of a calendar year was 2007. Now, while the improvement in the underlying market demand is encouraging, it remains modest overall and demand for litigation services, which is the largest practice area, was still negative. During the fourth quarter legal grew 2%, all organic. As expected, U.S. Print revenues continue to be a drag declining 6%, but excluding the impact of U.S. Print revenues rose 4% organically during the quarter. For the full year legal revenue grew 2% with organic revenue up 1% and that represented an improvement of 200 basis points compared to 2013, and excluding U.S. Print revenues were up 3% for the year and up 2% organically. Transaction revenues for the quarter, which represented 12% of the total were up 10% driven by strong performances in our software business and in our legal outsourcing business. Subscription revenues, which represented about 75% of the total, were up 3%, all organic. The continued strong organic performance of our subscription revenue base during the quarter is a good indicator of the underlying strength of the business. For the full year subscription revenues were up 4% and they were up 3% organically. Now turning to our profitability metrics for the quarter, the EBITDA margin was up 300 basis points while the operating profit increased 320 basis points. Excluding charges from last year, the EBITDA margin was down 130 basis points while the operating profit was down 110 basis points, primarily due to an adverse revenue mix. On a full year basis excluding charges from last year, the EBITDA margin was down 30 basis points and the operating profit was up 10 basis points. Given the challenging revenue mix resulting from the decline of high margin U.S. Print revenue, keeping our margins broadly flat was a good performance by the Legal business and very much in line with our expectations. Now, as you can see on this slide, the underlying trends in the Legal business are encouraging. As a reminder U.S. Print revenues represent about 15% of the total. So the graph on this slide shows the growth trend for the remaining 85%. As mentioned on the prior slide, Legal's total revenue growth was 2% for the quarter. However, when you strip out U.S. print revenues, you can clearly see the improving trend in the business on this slide. The remaining 85% of Legal’s revenue base has improved sequentially over each of the past four quarters. Now the fourth quarter had a relatively easy come, because as you may recall we experienced a decline in our revenue from our Latin American legal business in the fourth quarter of 2013, but nevertheless the underlying improvement is clear. Here is a more detailed look at the revenue performance of the three main sub-segments in our Legal business and this graph provides a good depiction of the changing revenue mix dynamics as our solution businesses is become an increasingly larger proportion of the total revenue base. As a reminder, these solutions businesses consist of everything except U.S. online legal information and U.S. print. In aggregate, they made up 46% of legal's total revenue in the fourth quarter, and they grew 8%, 7% organically. As I mentioned earlier, some of the strong organic growth performance in Q4 was driven by higher transaction revenues at Elite and Pangea3, but overall the growth performance of our solution business is strong as evidenced by the 6% organic growth rate they achieved for the full year. U.S. Print revenues were down 6% and they were down 7% for the year and finally, US Online Legal Information which is 38% of total revenues was flat for the quarter, which is encouraging. In fact we did see sequential improvement in U.S. online revenues every quarter in 2014 reflecting the improvement into legal market I described earlier. Now turning to our Tax & Accounting business, that business had another very strong year and quarter. Revenues for Q4 grew 10% of which 7% was organic and for the full year revenues grew 12% of which 9% was organic. Recurring revenue, which is about 85% of the total, grew 8% organically in the quarter. From a profit standpoint EBITDA was up 4% in the quarter with the margin declining 130 basis points as we continued to make organic investments in what is our highest growth business. For the full year the EBITDA margin was flat. For the fourth quarter operating profit was up 6% with the related margin down 50 basis points and the operating margin for the full year was up 80 basis points, primarily as a result of higher revenues and flat depreciation and amortization expense. As you can see on this next slide, we achieved strong growth across the business for the quarter. The corporate and professional segments were particularly strong with organic revenue growth of 12% and 10% respectively. Finally, the decline in the government segment had a very small impact on Tax & Accountings forward performance given the small size of that segment. IP & Science revenues were down 1% for the quarter, all organic. This performance was primarily the result of a lower number of transactional deals compared to the prior year period. I’ll get back to that in a moment. For the year revenues grew 3% with organic growth of 2%. Turning to profitability metrics for the fourth quarter, the EBITDA margin and the operating profit margin were both up substantially, primarily reflecting the charges we incurred in the fourth quarter of last year. Excluding charges from the fourth quarter of last year, EBITDA margin was actually down 30 basis points, while the operating profit was down 120 basis points. This was primarily the result of an unfavorable revenue mix compared to the prior year period. On the full year basis, excluding the charges incurred last year, the EBITDA margin was down 150 basis points and the operating profit was down 230 basis points, primarily due to organic investments in the business and also due to the diluted effect of acquisitions we completed in 2013. Although revenue declined overall for IP & Science in the fourth quarter, subscription revenues, which make up about three quarters of the total were up 6% and were up in each segment. Transaction revenues declined 17% as large one time deals signed in Q4 of 2013 were not repeated in the fourth quarter of 2014. And as always we remind you, small movements in the timing of these revenues and also of expenses can impact margins in any given quarter for the IP & Science business and that’s why full year results are much more reflective of the segments underlying performance. Now turning to the fourth quarter results for our Financial & Risk business. Revenues were down 1% with a 1% contribution from acquisitions, so organic revenue was down 2%. This organic revenue decline primarily reflected the impact of lower price realization, resulting from the migration of some of our foreign exchange and Buyside product offering to the unified platform. For the full year revenues declined 2% and were down 3% organically. Now as Jim just explained, we recently began migrating our remaining legacy Buyside and foreign exchange products to our unified platform, which may lead to lower price realization for some products. As such, we do expect that the pricing adjustments we are making in connection with these product migrations will dampen the positive impact of improving net sales on F&Rs over valuables revenue growth in 2015. In the fourth quarter we started to see some impact. We still anticipate that the improving trends in net sales combined with our regular annual price increases and greater price discipline on the rest of the F&R revenue base will help mitigate this impact. So overall, we do expect to see a year-on-year improvement in F&Rs top line growth performance in 2013 as Jim just mentioned. Now the EBITDA margin for the quarter was up significantly on reported basis. Excluding charges from both periods, the EBITDA margin was up 190 basis points and the operating profit margin was up 100 basis points versus the fourth quarter of last year. And again, these numbers exclude the impact of the charges, which amounted to $70 million in Q4 this year compared to $178 million in the prior year period. For the full year the EBITDA margin was up 70 basis points and the operating margin was up 50 basis points again both excluding charges, which amounted to $130 million this year compared to $251 million in 2013. Over the last couple of years our financial business has increased its underlying EBITDA margin by 140 basis points from 24.9% in 2012 to 26.3% in 2014, despite revenue declines averaging 3% of the year organically. As we gradually return this business to positive growth, the productivity improve we’ve made will become more apparent in our margin performance. Now as I mentioned in starting, currency has a larger than usual impact on the fourth quarter results and these was especially visible within our Financial & Risk business, which is where we carry the lion’s share of our currency exposures. As you can see on this slide, excluding both charges and currency from both periods F&R’s adjusted EBITDA margin increased 250 basis points in the fourth quarter to 27.3% and this represents significant progress towards achieving our objective of an EBITDA margin nearing 30%. The significant improvement in margins against the backdrop of the 2% organic revenue decline demonstrates how the simplification efforts of the financial business are baring fruits. Now looking at the Financial & Risk revenue in a bit more detail. Recurring revenues, which were 75% of the total, declined 2% during the quarter, 3% organically and this decline again was primarily the result of the commercial realignments we are implementing in connection with certain product migrations as I just described earlier. And as Jim noted, the trend in our net sales performance has reversed and we’ve now recorded positive net sales during the last three quarters. Recoveries, which are about 11% of the total revenues were up 5% for the quarter and as you know these are low margin revenues. Transaction revenues, which is 14% of the total were flat, but they were down 3% on an organic basis. However we did see some improvement in transaction revenues in our foreign exchange business. While one quarter dose obviously not constituted a trend the reason increase in market volatility should have a positive impact on transaction volumes and hence on transaction revenues going forward. For the full year transaction revenues were down 5% organically for F&R, due to lower volatility in currency and fixed income markets throughout most of the year. And since transactions represent a highly profitable revenue stream for the business, the declines in transaction revenues last year was obviously not helpful with regard to our margin goals. So we are hopeful that the trend will reverse in 2015. As Jim mentioned earlier 2015 should represent the last year of significant migration activity for Financial & Risk. As you can see on this chart only 10% of F&R’s revenue will remain on legacy desktop platforms by the end of 2016. This is a significant progress from the 45% of F&R revenue that legacy desktop represented in 2011. And the remaining 10% represent products such as wealth management, banker and Tradeweb, which have comparable or higher retention rate to Eikon and are not expected to migrate to Eikon in the next two to three years. Finally as shown on the pie chart on the far right of this slide, these legacy F&R desktop revenues will only represent 5% of the corporation store revenue base by the end of this year. Now let me update you on our capital position, free cash flow and earnings. 2014 was another active year from a capital structure standpoint. We issued $1.5 billion of new debt in 2014 and through these various transactions we maintain the average maturity across our debt portfolio at nine years, while at the same time reducing our average interest rate to below 5%. We ended the year with a net debt to EBITDA ratio of 2.2 times, which is within our 2.5 times target. Maintaining a strong and stable capital structure obviously remains a key tenant of our overall capital strategy. And we completed the first $1 billion share buyback program we had announced in late 2013, while also announcing an additional $1 billion repurchase program which we intent to complete in 2015. Now turning to our free cash flow performance for the full year and working from the bottom to the top of this slide. Free cash flow for 2014 was a $1.4 billion, this included $306 million related to charges, as well as a decrease of $67 million of cash related to disposals. As such, ongoing free cash flow excluding the impact of disposals was up 32% for the full year. And ongoing free cash flow excluding the impact of the charges was about $1.7 billion. This was down very marginally from last year. I think 2013 we achieved a one-day improvement in our overall DSO, which we are able to maintain but not improve upon this year. We continue to deliver on our commitment to return capital to share holders. Over the past three years we have returned just under $5 billion of capital in the form of dividends and share buybacks. Our acquisition activity was pretty modest in 2014. We completed just a handful of deals for a total capital commitment of about $170 million. We will continue to pursuit technical acquisitions but on a very selective basis. We expect our acquisition activity will be concentrated in our highest growth areas and our preference will be to seek medium size deals, which have a greater impact in the business, and/or assets that can be integrated quickly and easily. Simply put, we do not want to distract the organization with complex integration processes at a time when we seek to improve the benefits of our scale through our transformation efforts. Now turning to our earnings per share performance. Fourth quarter adjusted EPS was $0.43 per share, $0.22 higher than the year ago, that $0.22 increase was attributable to lower charges partially offset by higher tax rates. As mentioned earlier, we incurred $50 million of additional charges compared to our original projections, $135 million versus our early estimate of $120 million. These higher charge had a negative $0.02 factor in our Q4 results and foreign currency also had $0.02 negative impact on EPS in the quarter. For the full year adjusted EPS was $1.85 per share $0.31 higher in the year ago, with increase attributable to lower charges and interest expenses, partially offset by higher taxes and for the full year foreign currency also had a $0.02 negative impact on EPS. Now in light of the increased volatility we have recently seeing in the foreign exchange market, currency is likely to have a higher than usual impact on the results in 2016, and as such we wanted to take this opportunity to remind you of our currency profile. As you can see on this slide the vast majority of our revenue and expense base is denominated in U.S. dollars. So we have a fairly well balance foot print overall. The main exception is our euro exposure, where revenues exceed expenses by about $800 million annually. So the recent appreciation of the U.S. dollar against the Euro and a few other currencies such as the Japanese Yen or the Canadian dollar will have a negative impact on our reported results, both at the revenue and the profitability level. As a rule of thumb a 1% movement in the Euro against the U.S. dollar exchange rate would translate into a $0.01 impact on EPS. We do hedge this exposure to forward derivative instruments, but given their inherent volatility the impact of these directive contracts is removed from our adjusted EPS. Is obviously imposable to predict what the ultimate impact of currency volatility will be, which is why we always provide our guidance before currency, but we wanted to highlight the effect that currency will likely to have a greater impact than usual on our result in 2015 and we obviously will provide you with full transparency on these impact as the year progresses as we always do. Now Jim has presented key metrics for our 2015 outlook, so I will speak to those he did not address. Capital expenditure, I expect it to remain at approximately 8% of revenue similar to 2014. For perspective our CapEx spending has remind roughly flat since 2011. Interest expense is expected to range between $435 million and $465 million and this reflects how we have maintained interest rates broadly flat, thanks to the financing activities. And finally we forecasted our effective tax rate will range between 14.5% and 16.5% in 2015, up slightly from 13.9% in 2014. I would like to remind you that we historically paid more in cash taxes than our effective tax rate may imply. For instance, our cash taxes in 2014 were about $260 million as compared to the $146 million tax expenses we booked last year based on our effective tax rate of 13.9%. With that, let me now turn it back over to Jim for a quick conclusion.
Jim Smith: Thank you, Stephane. So in conclusion let me say that we are looking to 2015 as a milestone year, both financially and operationally as we set the stage for a return to organic growth for the first time in three years and for stronger improvement in 2016. And we are feeling more optimistic for the first time in many years. Our key focus over the last three years has been on fixing things. We have one more year of that in F&R and we are now turning our attention to accelerating our growth trajectory, which is very energizing for me and for the whole organization. We have proven over the past three years that we can manage the things effectively and we have done that by shutting legacy platforms, migrating customers to our unified platform and by launching products on time and on budget. I believe 2015 will mark the first year of organic growth since I took over as CEO and we are making this prediction in spite of the negative impact of commercial adjustments we need to make this year. So to finish up, the underlying trend is strong and 2015 should set the stage for stronger 2016, which should be a more business as usual year for the first time in a long time. Now, let me turn it back over to Frank. Frank.
Frank Golden: Thanks very much Jim and now we’d like to open the call for questions. So operator, if we could please take the first question.
Operator: [Operator Instructions]. Our first question is from the line of Drew McReynolds at RBC. Please go ahead.
Q - Drew McReynolds : Yes, thanks very much and good morning; just two from me. Just first with respect to the Q4 net sales. Obviously I think us and most of the Street were expecting that to be negative in the quarter; just Jim wondering if you could just point to the dynamics of that net sales period. I think you were a little bit cautious going in, but sound a little bit more optimistic coming out. And then second question just on approaching that 30% EBITDA margin target within F&R this year. You’ve highlighted a couple of puts and takes from positive net sales, price increases to transaction uncertainty and obviously commercial adjustments etcetera, but at the same time you are going to rip a lot of cost out. So I’m just wondering, kind of what are the one or two key deltas here that will ultimately determine whether you can meet that target that you set?
Jim Smith: Thanks Drew, Jim here. I’ll take the first one and let Stephane respond to the second one. We were gratified by the net sales performance in Q4 and if you think back over the last couple of years, what I’ve been hesitant to call any particular quarter or any particular year on which side of the water line we’ll wind up, we’ve been confident that we had an improving trajectory and we were very confident that we would have an improving trajectory in Q4 and in fact we did. It's just that it was good enough in fact to break us into positive territory, and you will recall it’s the biggest of our quarters and it's always been the big downtick. So what we saw in Q4 and experienced in Q4 was substantially improved retention rates and growth sales that we are able to overcome the downticks that we did get in Q4. So I’d just say it was gratifying for a little bit of color. We saw improvement in both the Americas and in Asia. Europe was still down for the quarter, but substantially improved over the prior year. And you’ll recall, we’ve seen that improving trend in Europe throughout the year and in fact Europe was in positive territory for the first time in a long time in Q3. So the overall trajectory continues to remain encouraging for us, and we were pleased to see it break above the water line in Q4.
Stephane Bello: Yes Drew, and let me address your second question, thanks for the question on F&R's EBITDA margin. I’ll point out to a couple of things I said during the prepared remarks right. If you look at the improvement in margins at F&R. The F&R team has realized over the last couple of years. It amounted to like 140 basis point if you like take away all the charges that kind of polluted the results a little bit and so that 140 basis points improvement has been achieved in the face of revenue declines where were 3% organically each year in ‘13 and ’14. So that’s a pretty good performance from that team, and in Q4 alone you’ve seen the improvement was even more marked if you adjust for the charges and if also adjust for currency which is obviously the basis on which we think about that, that EBITDA margin goal. Most of that has been achieved through the simplification efforts that we’ve made. This platform consideration efforts and as I have indicated on the call, 2015 will be a big year from a platform consideration perspective. We are moving – on the front end, we are migrating our two largest remaining product categories; foreign exchange and Buyside. That’s not going to have a huge impact on margin per say, but it should dramatically improve the retention rate we get on that revenue base once we’ve done. The big impact for margin perspective is obviously what Jim referred to with the IDN BON platform, that big real time data infrastructure. If you remember, the margin progression that Tim Collier, the CFO of our Financial & Risk business provided to you at Investor Day last year. He mentioned that two-percentage point improvement should come from migrating platform, while the IDN BON platform is the big deal when we talk about platform consideration. That’s really where you are going to see a lot of savings. And the way it will happen eventually is that you see the savings once we can get virtually the last customer off that platform. So we are in the midst of that migration right now. We are working with our customers. Initially what’s going to happen is that you are going to see some dual costs, some additional costs we can apply. We have to run the two platforms, the new one and the old one as customers like really want to make sure that everything works fine as we change the infrastructure and at the moment we completed that migration, which as Jim said we expect to complete in the latter half of this year, that’s when you are going to start seeing a big improvement in margins. So what I would focus I would say is really what’s the exit rate at which we leave 2014 from a margin perspective and if we execute well on this platform migration which we expect to do. We should see the exit rate margin for F&R very much at this objective that we mentioned and that obviously should increase the confidence that starting 2016, once you start seeing the revenue trajectory continue to improve as Jim said, and we’ve achieved that objective that we mentioned as I said by the end of this year. That’s really when you start benefiting from a different operating leverage, from the revenue growth of the business. So overall that’s a little bit the way I would think about the margin progression for F&R. A lot of progress has been made. As you said, there’s going to be puts and takes. The transaction certainly pushed us back a little bit last year. Just to give you a sense of the magnitude of that, transaction revenues declined by 5% organically. Had they simply been flat last year, the margin probably would have been 50 to 75 basis points higher than what we realized. So we took this kind of headwind in strides. We hope that some of that reversed this year. But all the things that are under our control in terms of making these margins improvement are very much on track.
Drew McReynolds: That’s very helpful. Thank you.
Operator: Your next question is from the line of Sara Gubins with Bank of America. Please go ahead.
Sara Gubins: Hi, thank you. Could you talk about how pricing changes for Buyside subscribers as they are converting over to Eikon and the retention that you are seeing? And also at the March Investor Day you gave out 2017 adjusted EPS goal. Obviously FX is a big wildcard around that. But I’m wondering if anything what’s happened in the last year or you see going forward changes that view. Thanks?
Jim Smith: Again Sara, Jim here, thanks for the question and I’ll take the first one and let Stephane answer the second one. Just to clarify the difference of what we are doing here, if you’ll remember when we started of with the Sell-Side with Eikon, we were going in and replacing one for one. We placed a Reuters Xtra 3000 terminal with an Eikon terminal and we did that at the exact same price, better product, massively improved the deliver of product for the exact same price and it was a one for one terminal switch out. When we move to the Buyside and when we think about FX, we don’t have one all-inclusive terminal options. So what we have is subscription to multiple products that we are blending together, right into one offer per customer. And what will happen is that at many instances if you are for example taking five products for us at $100 a piece. Your new offer may not add up to $500. In some instances it will, but in many instances it won't. Likewise if you look on the FX side we have constructed a combined offer for dealing, matching Eikon and FXall and offering a unified solution and we are pricing to be competitive in the market and to offer much greater value to our customers and our expectation is that once we rollout the new platform, the new products and services, that we will see the same kind of impact on retention rates as we saw on the Sell-Side.
Stephane Bello: Absolutely. And if I may add one point on the pricing, this commercial adjustments that Jim just explained are very much related to the migration of these products, this $700 million of revenue basis. So they kind of like, we know exactly where they are going to appear. We took some of that impact in Q4. We said there may be a little bit of spillover in ’16 but the bulk of the impact will be in 2015, which is the period during which we do these migrations obviously. Now on the your question about adjusted EPS, and the target that we gave at Investor Day in 2017 Sara, as you remember that target was really primarily dependent on our ability to achieve the transformation savings that we wanted to achieve and our efforts are very much on track with regards to achieving these transformation savings. The second component was obviously that the beneficial impact we were expecting to see from the stock buyback program and you know where we are on that, that’s on track too and the last portion of the impact was really a return to revenue growth. And I think you, from the discussion we have today you can see how we believe we got better visibility on the revenue trajectory and the factors that will impact that trajectory in ’15, which we just explained and also in 2016. So I’d say overall, all the trends we described are very much still on track. They will be factors that obviously are not in our control and foreign exchange is a perfect wildcard. At this point in time I would not, we will revise the targets we made with regard to our EPS target, because foreign exchange by definition can fluctuate a lot and by the time we get to 2017 it maybe a complete non-issue as currency movements may have reversed by then. If that’s not the case, obviously we will provide an update in due course.
Sara Gubins: Thank you.
Operator: And our next question is from the line of Paul Steep with Scotia Capital. Please go-ahead.
Paul Steep: Good morning. Jim maybe can you just talk a little bit about the trends and the data feed and the risk business as we sort of exist phase ’14 and into ’15. It’s been a while since we talked about it and it’s a material portion of the business. And then the second one, Stephane can you just clarify, I think I heard you flat on CapEx and then just pension contribution in cash shortages, what that would be in ’15 presumably stepped down? Thanks.
Jim Smith: Sure Paul, I’m happy to do that. But I’m glad you called those out. Those are both business that are very strong business for us and growing business for us. I’ll start with on the risk side. That business continues to be one of our fastest growing segments. Its one of which we are investing behind, continuing to invest behind and which has enormous take-up around the globe. So it’s a very solid contributor to our growth profile going forward and becoming a bigger and bigger part of the business, particularly around the compliance risk side. In fact one of our big new product offerings that we launched in the fourth quarter and are looking forward to this year is the launch of the Accelus Org ID, which is really creating, we hope an industry standard for customer on-boarding, screening matching. That’s something we are quite existed in, a continued strong growth business. On the feeds business, while all the focus has been on the Eikon desktop terminals, we made enormous progress on the electron side as well and if you look at the improvements that are made on the underlying electron platform and on the continued growth of our feeds business, it’s a huge part of the future going forward and I would dare say its an area that you are going to hear a lot more about in coming months and years. Particularly I think as our customers rely on us more for those kind of big enterprise services than just discreet terminal versus terminal. So both those business are incredibly important to us and receives a lot of attention, again under the covers, but are also growing nicely for us.
Stephane Bello: And Paul, let me take your second question, CapEx. We are projecting CapEx to be flat. As I said that would be the fourth or fifth year in a row now that we maintained flat capital spending overall. There is a lot of movement under the sheets however and in that we have dramatically reduced the amount of CapEx spending go to infrastructure, type product and we redeployed this CapEx towards product development, essentially towards the offense. So that’s really our ambition, is to keep that CapEx flat, but continue to like shift the mix of our CapEx towards growth areas. And in terms of your question on pension, interest and tax and effect of free cash flow, you remember we made a very large pension contribution back in 2013. There was not such a comparable big contribution in ’14, we don’t anticipate one in ’15 either. There are ongoing pension contributions, I would quantify the impact of increase in all these kind of non-operating items, not fully operating items meaning increase in cash taxes, interest and pensions to be in the range, maybe of like probably like $32 million to $50 million in ’15, not more than that. So it’s pretty steady.
Paul Steep: Perfect. Thank you.
Operator: The next question is from the line of Andrew Steinman with J.P. Morgan. Please go ahead. Mr. Steinman your line is open. Going to the next line, the next question is from the line of Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Good morning, gentlemen. So I just want to get back to that exit rate of 30%. If I recall, at Investor Day you had said that almost 450 of that 500 basis point improvement on a constant currency basis at least was more driven by your cost efforts; and then it would only be that remaining 50 basis points that would be dependent on the top-line growth. So just tying that in with your commentary around the dependency I guess on transaction revenue, is it fair to say on a constant-currency basis at least that 29%, 29.5% is in the bag or is there some more volatility behind that?
Stephane Bello: Look, I can only point you to what I said earlier, which is on the cost side we are very much executing according to what we planned and very much realizing the savings we were expecting to realize. What happened on the revenue is that we were expecting a combination of lower recovery revenues and probably flat to slightly increasing transaction revenues. Now from a mixed perspective transactions revenues are highly profitably and instead of being flat to up slightly, they were down 5% as I said, and recovery revenues as you know are low margin revenues and instead of being down they ended up being – so we had a little bit of a negative mix impact from a revenue perspective, which probably in aggregate amounted to a little bit more than 60 basis points. But as I said I think that these are kind of timing with revenues that hopefully will over time, the trajectory of these two revenues components will be in line with what we saw and so we very much are expecting to get the margin improvement. I mean I think that the trajectory is not very different from what we expected. I’ll be honest with you; it’s the revenue trajectory has been exactly what we would had expected we probably would hit a 30% margin earlier, but as I said, we can only manage what’s in our control.
Manav Patnaik: Okay. And then I guess just to talk about just the FX a little bit more. So I understand in your guidance there’s constant currency and we appreciate that. In terms of the margin, firstly, like including FX where it was, where it is today, let's say. What sort of impact on the margin should we expect in F&R? And then just generally, I know you said you gave us the mix of currencies for the total company, and you said the lion's share was in F&R. I was wondering if you could help us parse that out with maybe some specific percentages just to help our modeling.
Stephane Bello: Yes, what we will do is the following. We will post on our IR website an estimate of what we expect the impact to be, both on the revenue and on the EBITDA or OI for the largest currency pairs that we have, the largest currency exposures we had. So hopefully that should enable you getting kind of at least a good approximation in your model of what currency impact will be. It probably would be too lengthy for me to like describe on this call what the impact will be by business by currency, but we’ll try to provide you with additional granularity on our website.
Jim Smith: And in fact Manav we’ve done that this morning. So there is a supplemental schedule on our website that essentially shows you the potential impact on local revenue and in our profit basis for the four major currencies that Stephane had referenced in that slide that he you used during his presentation.
Manav Patnaik: Okay, I’ll check that out. Thank you.
Operator: Next question is from the line of Vince Valentini with TD Securities. Please go ahead.
Vince Valentini: Yes, thanks very much. A couple of questions on currency. I'm actually looking at that supplemental [inaudible] up there. The exposure to the euro I guess is a little bit worse than I would've thought. So a 1% change impacts operating profit by $8 million, so it seems like that could be pretty big this year. So Stephane, can you flush out a little bit more what you said about hedging? Because I'm not quite sure I get that. You have lots of hedges in place, but you don't include them in your adjusted EPS. But do they actually get included in free cash flow, so in terms of the economic impact you have somewhat of a buffer?
Stephane Bello: Yes, Vince that’s exactly the way you described it and I mentioned on the call right, you are exactly right. The Euro is by far the most impartial currency exposure we have. It’s about $8 million, so given that we got 800 million shares roughly, that’s why I said that 1% change in that exchange rate, the U.S. dollar, Euro exchange rate translates into about $0.01 impact on EPS which is a meaningful impact as you just mentioned. We do hedge our currency exposure, we got a program in place where we hedge anywhere between 50% and 100% of our annual exposure on an ongoing basis. Now that obviously creates a fair level of volatility, so we exclude the impact of these hedging program form EPS, but the impact is included in free cash flow. So from an economic perspective you should see the benefit of that in free cash flow.
Vince Valentini: Okay. One side question on FX exposures. I think you have a fair amount of employees and intellectual property rights in Switzerland. Is there any specific exposure you have there, given the rapid change in its currency and does that perhaps have any impact on your higher tax rate for 2015?
Stephane Bello: Not really. We do have a large employee base in Switzerland as you point out. We also have our revenues in Swiss Franc, so their exposure is are little bit more balance overall. You know what I think as an impact on the tax rate, it’s obviously a very complicated calculation. Last year we ended up actually really smack within the guidance that we provided at 13.9% and our guidance was if I recall was 13% to 15%. This year we seen increase that’s mainly driven by the geography of where we’re going to realize earnings and so to the extend that we earn more in jurisdictions where our marginal tax rate is a little higher like the U.S. that will drive a slight increase in the tax rate, that’s really what’s going on for 2016.
Vince Valentini: Thank you.
Operator: Our next question is from the line of Tim Casey with BMO. Please go ahead.
Tim Casey: Thanks, good morning. Jim, one of the narratives that used to be out there as a concern was that on the F&R side you were getting squeezed from the top and the bottom. So Bloomberg has a premium offer, and then there was new competitors coming up underneath. Given the turn in net sales, do you believe your capturing share or that the overall seat count or screen count if I could use that is improving in your favor. What you think is driving the turn in net sales that you’ve talked about today?
Jim Smith: I think that there are three things I’ll point to or four. First, we got a bit of product, we got a lot of better product out there and we’ve increased the number of people we’ve put in our kind of customer facing support roles, both on sales and in support. So better product, better service and a sales force is energized by adding both of those things. It helps you on the gross sales side and if we look at – we monitor all the head to head situations we find ourselves in. In the old days with Reuters Xtra 3000 we lost all the head to head and we lost the head to head with the big players and we lost head to heads from start-ups and now we pulled our fair share. Frankly I think we win more than our fair share in many areas and we are pretty proud of that. But on the other side, the great thing that our better products have done for us is that our retention rates are up, right. So not only are gross sales improving, but the cancels are going down and that notion of marked improvement in the retention rates gives a so much more solid base to compete against us. So I think it’s a combination of factors, but it’s really based on the back of better product and better services and we are winning our fair share of the bake offs where we were.
Tim Casey: Is your sense though that the addressable market is stable or do you think its improving with the…?
Jim Smith: I think the addressable market has stabilized. I think the desktop market is unlikely to be a growth market in the future. It’s a place where we can continue to improve and I think continue to increase our position and I think we have lots of room on the buy side as well, particularly as we began to penetrate there with a fit for purpose product, particularly in North America, right. So I think there are opportunities for us there. So I don’t get a sense that the market has returned, the desktop market has returned to a some kind of period of growth where we’re going to see increasing seat counts there, but I do get a sense that it has stabilized in terms of reductions and certainly our competitive position is much improved.
Tim Casey: Thank you.
Operator: Our next question is from the line of Andre Benjamin with Goldman Sachs. Please go ahead.
Andre Benjamin: Thank you. Good morning. My first question was on the legal side. I was wondering if based on what your seeing, do you think that legal ex-print are getting growth to sustain the recent levels of 3% to 4% as we look to 2015 or should we assume that that tapers a bit, particularly as the comps get a bit tougher?
Stephane Bello: Okay, I think what your going to see on the legal business is going to be the following. The best we could think about the legal business is looking at this by chart like we have shown and the three components. Print is going to continue to decline at the HD space, the organic 7% and its becoming a smaller and smaller percent to the total or legal solution business. We actually feel pretty good about that business. It generated 6% organic growth rate. We think that’s pretty sustainable. It’s a very solid business and as James said, we did a couple of euros. It should become the majority of our legal revenue base. And the last component which is our U.S. online business, that one has seen an improvement, a steady improvement. It was negative a 2% in ’13, negative 1% in ’14 and actually flat in the fourth quarter of ’14. So you could see a very gradual improvement there. Its not going to be a hockey stick improvement, but we are confident that that basis has been stabilized. So the combination of these three trends and particularly the fact that Ohio’s growth business is becoming a greater and greater percentage of the total. It should in our opinion lead to an over revenue growth rate. That should continue to steadily gradually improve. But as I say, its not going to be a hockey stick improvement.
Jim Smith: And if I could just – Andre if I could just add to that, you hesitate to like commit to a number and this particular number says that. I think the trends that underlie what’s happening in our legal business are sustainable and I think you’ve heard me and for the last few quarters that we’ve been encouraged by the underlying trends that we’ve seen and those continue and now they are flowing into the numbers, particularly evidenced on the slide that’s on for us to kind of see that sequential performance. Well, that’s what we’ve seen and if we peal under the covers of that, the reason I’m so encouraged is because a big part of that is because quality counts. We’ve seen improving retention rates even in the small, the very price sensitive small loss base for us. So I think that we’ve got a very good quality product and once again we see that pays off with customers. And if you think about the new solutions business that Susan and the team in legal are focusing on now, there is great confidence in the trend.
Andre Benjamin: Given I guess my follow would be as to the wind and the improvement in that sales that your seeing in F&R, could you maybe talk about the role that bundling is happening in your conversations with customers. When you are getting the, wins are you seeing the trends be that your typically displacing other bundled products or are you typically displacing more and more specialty in niche products that people do like the fact that you can offer them a bundle that’s maybe at a lower commodity price.
Jim Smith: Yes, its probably – its early days of that process, so its probably pre mature to comment on how that’s going to play out and frankly for competitive reasons I’d rather not go too deeply into that one and I hope you could appreciate that. Lets just say we think we have constructed attractive value propositions to compete kind of across the range of competitors and the early results are encouraging. More details to come and we have more experience under our belt.
Andre Benjamin: Thank you.
Operator: Next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning and thanks for taking my questions. A couple for Stephane around the guidance. With respect to the currency assumption that you indicated, you’re talking about constant current assumption. I just wanted to clarify, the guidance, is that based on sort of the year end ’14 or the beginning of ’15 currencies put together for the year or GVP or you’re taking the average for 2014?
Stephane Bello: Its the average rate of 2014.
Aravinda Galappatthige: Okay. And just around that, I wanted to know you hadn’t indicted if there were any charges, restructuring charges included in the 2015 adjusted EBITDA margin guidance. Is that something which your disclosing at this point or…?
Stephane Bello: We always provide the guidance all-inclusive. So if we need to take, we don’t expect to take large charges in 2015. We think that the programs we’ve taken in 2013 and ’14 would present the majority of the charges that we have to take. As we mentioned in Investor Day, our transformation of the program is predicted much more outside the improvement everyday on natural attrition as opposed to big disruptive charges. It does not mean that we will not have some charges, but we’ll have some of them in the number and that’s what organic is based on.
Aravinda Galappatthige: Okay, great. Thank you Stephane.
Operator: Our next question is from the line of Ato Garrett with Deutsche Bank. Please go ahead.
Ato Garrett: My first question is on the ’15 revenue guidance. I was wondering, can you provide any more specificity around what exactly the organic growth rate would be and also just thinking about the organic growth rate and I know you had a lot of questions on FX so far. I think that would imply probably maybe of a reported revenue decline in ’15 just given where FX headwinds maybe. And then as a follow-up I was wondering, given the revenue dynamics you’re seeing within legal, how should we think about the margin for the year? Thanks.
Stephane Bello: Alright, let me try to answer these questions. First of all on foreign exchange, I think that your assumption on what the reported revenue growth rate will be is probably correct. You could see a decline given that we’ve got 40% of a revenue base, which is non-U.S. dollar base and the U.S. dollar has strengthened against virtually every currency in the world lately, so unless there is a turnaround in the U.S. dollar rate reported revenue growth obviously could be impacted by that. As you know we very much focus on the growth excluding currency, because we do think that this is a much better way to look at the trajectory of our business. In terms of the over organic growth guidance that we’ve provided – look, we are stating that we expect it to be budgeted from an organic perspective that this would be the first year of organic growth that we would achieve since Jim and I got into our roles and if you look at essentially our history since the Reuters acquisition I think we only had one other year of positive organic growth rate. So this is obviously pretty meaningful from a signal perspective and we’ve tried to describe on this call what we expect the trajectory of the revenue growth to be, not just in ’15 and ’16. So getting to that positive organic growth rate obviously is a pretty important milestone and the improvement will come primarily obviously from our financial business. The rest of the business, the professional businesses had like a pretty good performance for a number of years. We do expect them to continue to deliver that strong performance. We really expect now to start seeing the turnaround in the top line performance of our financial business and that’s really what’s impacting the improvement in the guidance we’ve given from a top line perspective. And I forgot, your last question was on…
Ato Garrett: The second question was on the margin with your legal business, yes.
Stephane Bello: I would expect more of the same, which means the legal management team has done a very nice job in keeping or trying to maintain more or less their margin in the phase of what has been a very, very negative mix impact and we would expect that they will continue to do that in 2015, so I would not expect an improvement in margin. As I said, our objective in that business is more to keep the margin on its table and continue to improve it sometime, the performance.
Ato Garrett: Thank you.
Operator: Our next question is from the line of Doug Arthur with Evercore ISI. Please go ahead.
Doug Arthur: Yes, good morning. Just a simple question, just to clarify Jim on the revenue outgrowth, that work for F&R in 2015, a lot of moving parts. Bottom line, ex-currency you expect F&R to be positive in 2015, is that the right read?
Jim Smith: I want to treat the answer to that the same way I treated net sales last year and the year before. We expect to see a marked improvement in the revenue performance in F&R. But due to the number of moving parts that you’ve noted, it will be tough to call where you break, above the line or below the line, because it will depend up on – I’m very confident in the trajectory of the subscription sales that we have made today and we’ll make throughout the year, particularly on the sales side and how pricing, given your ability to realize net pricing increases, particularly on those sales side contracts that are in place today. But the moving parts that involve you know the transaction volumes as Stephane pointed out are a significant moving part. We’ve got another moving part in terms of recovery revenues where a number of vendors for whom we simply pass through their data and win their data along, they are starting to bill for that directly in many cases. So that is another moving part and then the notion of how the Buyside migration actually progresses and what our yield is. Its just a number of moving parts there to say, to try to call it a number. So I would prefer it at this point just to express the confidence as we did in net sales in the past. We’re going to see it improving trajectory if its on the top side of the line or below the line, that will develop throughout the year and we’ll have more visibility into it as the year unfolds.
Doug Arthur: Okay, got it. Thank you.
Operator: Our next question is from the line of Peter Appert with Piper Jaffray. Please go ahead.
Peter Appert: Thanks Jim. So in response to some of the earlier question, it seems like you might have been implying a bit of strategy changes in terms of the pricing model. Are you guys moving to more of a all-you-can-eat model for the F&R division versus the al-a-cart pricing you’ve done historically.
Jim Smith: I don’t think so. I mean, not across the board. We’ve done a lot of work Peter about looking at what our customers buy from us, where they place value in, which products. Their propensity to cross buy multiple products, where we could add more value by either putting together a bundle at an attractive price or where putting together a bundle would actually destroy value for us, because the customer really values both of those products at separate prices. So its not so much a change across the board in our strategy. Its just the desire to put together compelling packages that our customers value and get the right price on all the various services, so that we’re competitive in the marketplace and I think we’ve been talking I think in a broad range about that for the past 18 months or so. Its just now we‘re at the point of executing on it and I think we’ll be able to provide far more valuable products and commercial arrangements with our customers, but no, its not going to be so much the all you can eat package.
Peter Appert: Understood. And Jim could you say anything on symphony as a competitor in terms of how seriously your taking them.
Jim Smith: Well, I think Symphony is a very interesting development in the market. We’ve always been on the side of open. I think we’ve been in the middle of all of the discussions that are certainly involved in. Its not in the middle of all of the discussions, about messaging in the financial services community and to the extent that Symphony provides an alternative messaging system and multiple players are going to interact with one another. We’re kind of all ears and I think in this day and age you have to be very attentive to changes in the market and I think you have to note that there will be competitors and there will be partnerships that you will form that will look different than relationships in the past. I view the Symphony development as a positive one and one which we will continue to engage in a dialogue about. But I think anything that helps the industry and helps change some of the closed dynamic of messaging in the industry has the potential to be a very positive thing for the industry and for us.
Peter Appert: Okay, thanks Jim.
Operator: The next question is from the line of Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Hi, thanks. In terms of timing, regarding Eikon for the Buyside, initially I expected your target legacy customers to migrate. So when do you expect to start going after totally new customers and similarly for Elektron, which quarter is the migration suppose to be completed in and so shall we expect that margin improvement is more weighted towards after that is completed. So maybe the back half of ’15. Thanks.
Stephane Bello: Let me answer the second question first Toni and it’s a definite yes answer to the question for exactly the reason you mentioned. Its kind of we knew that these margins improvement would come in step changes and obviously the completion of the IDN BON platform migration is going to be a key step and it needs to be completed before you start seeing the savings going through the P&L. So that will be surely back loaded. I would say as I mentioned earlier, actually prior to completing that there’s going to be the old and the new platform kind of running together for a little while, so that may lead to a slight increase in us while we’re doing that and then a mark improving in the margin.
Jim Smith: And we’ll follow our strengths as we move to the Buyside and I think what you’ll see is that we continue to have features and functionality and content for the Buyside migration and as Stephane said, that migration will go through the end of – certainly through the end of this year and frankly into ’16 as well, but once we are able to shut down the old platforms we’ll hit the bulk of the savings. But I think there is a pretty fertile field out there for us on the Buyside and one which we’ll want to continue to serve and find new ways to serve and we’ll look for the greatest areas of opportunity and we’ll build appropriate product and we’ll go where we’re fit for purpose and let that opportunity and our readiness guide our entry into the market and frankly we’ve had continuous and ongoing discussions certainly with the largest folks on the buy side and we think that’s a very attractive opportunity for us.
Toni Kaplan: Thanks a lot.
Jim Smith: We’d like to take one final question please.
Operator: And our last question is from the line of Matthew Walker with Nomura Securities. Please go ahead.
Jim Smith: If Matthew is not there, then that will conclude our call. I don’t think we have anyone else in the queue.
Jim Smith: So with that we will wrap it up and we want to just thank you all for joining us today.
Stephane Bello: Thank you.